Operator: Hello, and welcome to Unum Group Fourth Quarter 2024 Results and 2025 Outlook Conference Call. Please note that this call is being recorded. [Operator Instructions] I'd now like to hand the call over to Matt Royal, Senior Vice President, Head of Investor Relations and Treasury. You may now begin.
J. Royal: Thank you, and good morning. Welcome to Unum Group's Fourth Quarter 2024 Earnings Call. Today, we will be discussing full year 2024 results along with highlights from the fourth quarter. We will also use the time to discuss our outlook for 2025. Please note today's call may include forward-looking statements and actual results may differ. We are not obligated to update any of these statements. And as always, you can refer to our earnings release and our filings with the SEC for a description of the factors that could cause actual results to differ from expected results. Yesterday afternoon, Unum released our earnings, including the financial supplement and presentation materials for today's call. Copies of those materials can be found on the Investors section of our website. Finally, references made today to core operation sales and premium including Unum International are presented on a constant currency basis. Participating in this morning's conference call are Unum's President and CEO, Rick McKenney; and Chief Financial Officer, Steve Zabel. Following remarks from Rick and Steve, additional members of management will participate in Q&A, including Mark Till, who heads our Unum International business; Tim Arnold, who heads our Colonial Life and Voluntary Benefits lines and Chris Pyne for Group Benefits. Thank you again for your time this morning. And with that, let me turn the call over to our CEO, Rick McKenney.
Richard McKenney: Thank you, Matt, good morning, everyone. It's a pleasure to be here with you all today. We appreciate the opportunity to share not only the strong results we delivered throughout 2024, but also on the excitement as we look to the future. Our leadership position is hard earned and embedded in our DNA is the desire to find new ways to develop and grow in the employee benefit space. In fact, we are motivated by the privilege we have to serve 47 million customers and are well positioned to serve many more. Our focus on taking care of our customers at time of need, supporting our employees to provide excellent service and engaging in our communities has the profound effect of building a durable franchise that delivers significant value for our shareholders. Steadfast commitment to the working world are core to who we are and brings delivery and creativity to those who we are connected with. These connections are strong and built to last. The capabilities we are bringing to the market such as HR Connect, Total Leave, Gather and Help@Hand our connection points with employers and employees to bring greater customer satisfaction and ease with the benefits experience. When considering the expertise and empathy our team adds to every interaction in every touch point and connection, these advancements have been instrumental in attracting customers and maintaining our competitive advantage. These advantages are not only as good as the ability to deliver them year in and year out it takes consistency and a disciplined approach to run a leading business in our market. Our commitment remains unwavering and has continued to deliver top line growth, earnings growth and high returns on equity. Overall, in 2024, we grew earnings per share 10%, which is above our initial expectations of 7% to 9% growth going into the year. We saw most of our product lines meeting or exceeding our expectations throughout the year, and our core operations delivered over 20% ROE in 2024.  From a capital standpoint, we've again executed our plans in line with how we described them coming into the year, and with good overall results exceeding expectations on value delivered to our shareholders. 2024 was the first year in many years that LTC did not consume any capital. The actions we took in 2023 to fund this block and our expectation of not needing to put more capital here are playing out. Further, we raised our dividend by 15% and repurchased approximately $1 billion of shares throughout 2024, including just over $700 million of repurchases when excluding onetime additional repurchases following the PCAP Trust transaction. With these actions, we still ended the year with stronger-than-expected financial metrics, including holding company cash of $2 billion and an RBC ratio of 430%. This is in addition to the significant capital buffer within the Closed Block, which Steve will talk about more in a minute. Looking forward, we expect our key metrics to enhance further and provide even greater strategic optionality as our core businesses will continue to deliver between $1.3 billion and $1.6 billion of free cash flow in 2025. As we transition to think about 2025, we continue to witness both a market backdrop and an economic environment that are highly supportive of our business, a competitive labor market, wage inflation, and sustained interest rates provide us with ample opportunities to grow and thrive. Our action plan is to continue building on our solid foundation and maintain our leading foothold with digital capabilities. We're dedicated to continually upgrading our core operations while maintaining our disciplined approach and innovating in ways that resonate with our customers and the market. When we look across the company, we are hitting the ground running in 2025, and our teams are looking to build on some very strong growth rates with consolidated sales growth of high single digits coupled with good persistency, premium growth is expected to deliver in the 4% to 7% range. With continued disciplined underwriting, we expect to maintain good margins that will flow through to earnings and after we've used some of our capital generation to purchase shares, we will deliver 8% to 12% earnings per share growth on top of the 10% adjusted EPS growth we delivered in 2024. All of this is predicated on our customer-centric approach remaining at the heart of our strategy. We're constantly adapting our services to meet changing market needs and ensuring we remain the preferred choice for our clients. When we met last February, we outlined our strategy and plans to build on our market-leading position. We can report that we're advancing on this and seeing the results. For Unum in the U.S., we are leveraging our go-to-market expertise to connect benefit solutions to HR platforms effectively while also ensuring our leave management is best in class. Leave management has been a challenge for the industry and with our history, knowledge and focus we can continue to give a differentiated experience to our customers. In addition, we saw strong momentum in the trend of customers preferring the full suite of products. Our efforts are geared towards seamless enrollment, billing and administration via solutions like My Unum and establishing robust connections with select third-party platforms. In Colonial Life, the focus is on continuing to build and support our independent sales force with enhanced tools and solutions. Our proprietary industry-leading agent assist technology, which enables automated lead generation, CRM and workflow will help boost agent productivity of our independent agents so they can continue to focus on building their agencies. Another key tool is our -- in our arsenal is Gather, which modernizes enrollment and benefits administration and streamlines the client experience. Finally, enabling Colonial Life agents to offer Unum employed, Unum employer-paid products ensures that they have the solution for every employer and broker with market-leading group products. For Unum UK, our approach has been to redefine the broker experience, setting a market-leading standard that is distinctively Unum and enhancing our relationship management model. We are dedicated to providing value-added services that drive customer engagement and loyalty, such as through Help@Hand, which offers integrated value-added services and by delivering comprehensive management information that yields actionable insights. Moreover, we're expanding our product set to encompass a broader spectrum of risk and well-being solutions. In 2024, we launched a claims portal for large customers, the first of its kind, delivered by a disability insurer in the U.K. All of these efforts across the company will drive growth in the number of employees we serve and in turn, will generate the growth of premiums and earnings. It is a simple, purpose-driven strategy that has resonated through different cycles. We have a proven track record of achieving our growth aspirations. If you look at the last 10 years, first, you can note our compound annual growth rate of 4% for core premiums, which is especially remarkable when looking -- when talking -- taking into account the pandemic. The second is to look at growth in book value per share. We have seen 9% compound growth driven by a similar EPS growth. It is a strong story that encapsulates how we have driven value over the long-term. We also remain disciplined stewards of our capital in building franchise value. The consistency of our capital priorities remains intact. First, we ensure strategic investments directly support our businesses. We have a clear growth strategy continued to build out our offerings and capitalize on our well-positioned and profitable products. Second, we continue to look externally to identify and pursue selective M&A that supports our internal initiatives in line with this strategy. And third, we will continue to return capital to shareholders via regular dividend increases and share repurchases as we have demonstrated through our actions in increasing both commensurate with our plans. Summing it up, our strong capital generation $500 million to $1 billion of share repurchases and no LTC contributions will leave us in a position of greater than 400% RBC and holding company cash greater than $2 billion at the end of 2025. Our continued commitment to innovation, prudent capital allocation and shareholder returns remain steadfast. With our customer-first mindset, agile operations and comprehensive financial strategies, we continue to shape our future. 2025 is going to be an exciting year for Unum. I'd like to now hand it over to Steve to provide further insights into how we wrapped up the year and provide outlook details for 2025. Steve?
Steven Zabel: Great. Thanks, Rick, and good morning to everyone. As Rick mentioned, we were extremely pleased with the strong finish to the year across the board. The fourth quarter capped another year of solid growth as evidenced by our results. For the full year, sales were up 6.1% in Unum International, down 1.4% in Colonial Life and up 6.5% in Unum U.S. where we saw record absolute sales and growth of nearly 20% in the fourth quarter, which is our largest sales quarter of the year. Premium for our core operations increased 3.6% in the quarter compared to a year ago and finished up 5% for the full year. This is within the expectation laid out last February and consistent with our long-term expectation of 4% to 7% annual premium growth. Margins across the business continue to be robust. Unum U.S. results saw continued sustainability in both disability and life results, highlighted by a disability benefit ratio of 59% for the full year and 60.4% in the fourth quarter. Meanwhile, Group Life and AD&D finished with a benefit ratio of 66.3% for the year and 66.7% for the quarter. Looking ahead, we expect performance for both of these lines to continue and are maintaining our outlook for both benefit ratios. Specifically for disability, we firmly believe that the results we are seeing are durable for the near to midterm as we continue to see support for these levels in our operations and in the market, and therefore, reiterate our outlook for a benefit ratio in the low 60s. For Group Life and AD&D, we think current trends will continue for the near-term and therefore believe the benefit ratio outlook will be around 70% with potential period-to-period favorability as we have recently experienced. We also saw strong margin performance beyond Unum US. Colonial Life delivered one of its highest quarters of earnings on record and International continues to produce earnings in line with its earnings outlook, which we did raise earlier this year to the mid- to upper GBP 20 million range per quarter. Both franchises are well positioned to continue these strong operating trends as we enter 2025. All of these factors enabled us to end the year with after-tax adjusted operating income of $1.6 billion and after-tax adjusted operating earnings per share of $8.44, which represents growth of 10.2% over full year 2023. The strong earnings power for GAAP was also apparent in our statutory results with full year after-tax operating earnings of over $1.3 billion, which was within our outlook of $1.2 billion and $1.4 billion. Earlier, Rick mentioned our capital priorities and detailed our aspirations to grow the business while also returning capital to shareholders. Our consistent and powerful cash flow generation model provides us with significant capital flexibility, which was further enhanced in 2024 without the need to fund LTC. As a result, we returned $1.3 billion to shareholders in the form of share repurchases and dividends. This was an increase of 2.5x from our deployment of just over $500 million in 2023. Our top capital priority is to reinvest organically into the business. The strength of our persistency and new account sales metrics are a testament to the value of our offering in the market and the success we are seeing with the key strategic initiatives that Rick discussed. Investing in these capabilities to grow our core business and increase efficiency is a key priority. As a result, the full year 2024 adjusted operating expense ratio of 21.7% was consistent with 2023. In 2025, we expect the expense ratio to increase slightly as we balance continued investment to maintain our differentiation in markets with realizing further productivity gains. So then focusing in on the fourth quarter, results represented a continuation of some of the strong trends we've seen throughout the year mainly around margin sustainability and group disability and life. We did see some pressure in our supplemental and voluntary lines that I will discuss in a moment. However, we don't expect that to persist in 2025. All in all, this produced after-tax adjusted operating earnings per share of $2.03 for the quarter and $8.44 for the full year, representing 10.2% growth over 2023. Notably, this growth level follows multiple years of double-digit EPS growth. So then I'll now briefly review our 2024 results by segment, provide updates on the Closed Block and then shift to our 2025 outlook. In Unum US, full year adjusted operating income of $1.4 billion increased 6.2% over 2023. As mentioned earlier, these results were bolstered by a sustained group disability margins but also group life performance with the Group Life and AD&D product line experiencing full year adjusted operating earnings growth of 62.8%. While this quarter saw pressure from our supplemental and voluntary lines, specifically voluntary benefits, we view these impacts as transitory and believe results in 2025 should return to more normal levels specifically quarterly earnings around $121 million compared to the $104 million in the fourth quarter. Then from a growth perspective, Unum U.S. earned premium grew 4.6% to $6.9 billion due to natural growth, higher sales and solid persistency, which is near our 5.7% expectation. Moving to Unum International. The segment continued to show strong trends in its underlying earnings power and top line growth. Adjusted operating income of $157.8 million for full year 2024 was relatively flat compared to the prior year, but didn't have the benefit of high levels of U.K. inflation seen in 2023. As such, the underlying earnings power of the business grew in 2024. And when adjusting for the impact of inflation, U.K. earnings grew approximately 15% over 2023. Fourth quarter U.K. results of GBP 27.6 million were in line with our outlook for adjusted operating earnings levels in the mid- to upper GBP 20 million range. As we enter 2025, we expect to grow off of this range and believe the upper GBP 20 million range remains an appropriate outlook. We are pleased with the growth levels in the U.K., highlighted by full year premium growth of 9.4% and sales growth of 6.6%. While the U.K. business is the major driver of this segment, Poland saw another year of significant growth, increasing premiums 24.2%, while sales grew 4.2%. Then turning to Colonial. While sales were down for the full year, premium did grow steadily at 3.3% despite slower levels of growth, margins remained outstanding, and fourth quarter adjusted operating earnings were some of Colonial's best ever at $122.7 million. Full year results of $466.7 million were up 16.6% over 2023 and equated to a return on equity of 19.7% compared to 18.1% in the prior year. So before covering the Closed Block results, the Corporate segment, which consists predominantly of corporate debt-related expenses produced a loss of $50.4 million in the quarter, and we expect this level of loss to continue into 2025. Switching gears to the Closed Block of business and focusing on this quarter, adjusted operating earnings were $27.7 million. This brings full year earnings to $137.8 million, which is in line with our outlook of $130 million to $160 million. The LTC net premium ratio, which is indicative of a lifetime benefit ratio expectation, increased slightly to 94.6% from 94.5% in the third quarter of 2024. Further, LTC incidents remained above long-term expected levels and was generally consistent with our experience in the third quarter. We continue to believe the elevated incidence rates has been a function of inventory levels normalizing in the environment following the pandemic, and we may continue to see some of this volatility going forward. Lastly, for the Closed Block, our alternative investment portfolio, which largely backs LTC, produced income of $30.5 million in the quarter or a yield of 9.1% on an annualized basis. Since inception of this portfolio, our diversified alternative portfolio has produced returns which are in line with our long-term expectation of 8% to 10%. And moving on from quarterly results. I'll now take a look -- take a few moments to address the overall position of our LTC Block. 2024 saw a handful of positive trends, including the higher for longer rate environment as well as our success regarding our premium rate increase program. Both of these factors drove pronounced impacts to our block that I'll describe. First, through the end of 2024, we have achieved over 50% of our current premium rate increase program expectation. We are pleased with both the pace and the receptiveness from regulators for these requests. A key element of this success has been offering policyholders flexibility. We regularly present choices for coverage adjustments and other methods that we made better suit their present financial and insurance needs. Second, the higher rate environment has had major benefits to LTC over the last few years, and this was no different in 2024. Our hedge program remained active, and with $2.6 billion of outstanding notional at year-end, with average hedge rates of 4.3%, exceeding our best estimate ultimate assumption for the 30-year treasury of 4.25%. In addition, as we discussed earlier in the year, we took the opportunity to extend the horizon of investable cash flows hedged from 5 years up to 10 years in some cases. Overall, we are very pleased with the impacts of our hedge program and the prudent risk management it provides. As Rick mentioned in his opening, we no longer anticipate the need for further capital contributions for LTC. Our 2024 capital deployment demonstrated this, allowing us to concentrate further on expanding our core operations and returning value to our shareholders. Our confidence is reinforced by the $2.6 billion of protection which consists of the difference between our best estimate reserves and our reported statutory reserves plus excess capital at Fairwind. With the sustained levels of interest rates, we were able to release a large portion of our premium deficiency reserve in Fairwind. Due to tax impacts on reserve releases in the Fairwind excess capital, the level of protection decreased as expected from $2.8 billion reported last year to $2.6 billion this year. On an economic basis, we are in a similar position of strength to last year as this capital will stay in Fairwind. We've provided update sensitivities to show the relative size that changes in assumptions have against our protection level. I'd like to take a pause here and describe a little bit the sensitivities that we show in the materials that are on the screen. And as I'm looking at the table on the right side of the page, what we've done is looked at the major assumptions that we have within our best estimate assumption set for economic reserve for this line of business. And what we have done for both the premium rate increase as well as the morbidity and mortality improvement is just give an indication of what the impact of removing the benefit of those assumptions from our best estimate assumptions would impact our best estimate reserve. For policy lapses and mortalities, claim incidents and claim resolutions we've really taken the approach to take a 1 standard deviation variance to our best estimate assumption forever and show the impact of what that would have on our best estimate reserve. And then the last sensitivity that we gave was to take the new money rate for the 30-year treasury and take that down to 3.25% for an ultimate rate and the impact that, that would have on our best estimate. We obviously do not think that these will all occur together, but wanted to give the market some indication of the sensitivities for these various key assumptions within our best estimate reserve and be able to relate that back to the level of protection that we do believe we have between our recorded regulatory reserves and our best estimate reserve. So this further validates our view that we will no longer need to contribute capital to the block. Considering all of this, we are pleased with the position of our block and we will continue to pursue all of our options both internally and externally to best actively manage it. Internally, we will focus on continued risk management actions such as implementing hedging strategies and advancing our premium rate increase program. Externally, we will continue to seek opportunities for economic risk transfer. These actions remain a top priority as we move into 2025. For your reference, we have updated the LTC key metrics and block demographics, and they can be found in the appendix of today's presentation. So stepping back, 2024 was an incredible year for the company. And as we turn to 2025, we see many of the same tailwinds and opportunities to win. So with all that considered, it's time to talk about our outlook for this year. I'll start with our view of business growth and earnings power and then discuss how that plays into capital generation. The key theme of our 2025 outlook is consistency with the strong results that we saw in 2024. The major trends that drove those 2024 results are expected to continue into 2025, specifically our group disability and life product margins. The durability of these trends drive high levels of earnings power and lead to robust free cash flow generation and capital optionality. These sustained margins paired with top line growth and a thoughtful share repurchase strategy drive expected earnings per share growth of 8% to 12% in 2025. I will now turn to our expectations for top line growth and returns of our core businesses. Following our core operations sales growth of 4.3% in 2024, we expect sales to build momentum in 2025, including continued success in Unum U.S. and International with Colonial resurging to the 5% to 10% growth range. There are different stories across the lines of premium growth but importantly, we believe core operations growth will continue to produce results in line with our long-term expectation of 4% to 7%. It's also noteworthy that our International segment continues to produce very strong growth results while maintaining its solid level of margins seen post-pandemic. Returns on equity across the board are robust and sector-leading, driven by the sustained product margins I referenced earlier. I'll now pivot from GAAP metrics to our capital expectations in 2025. Our capital generation model continues to grow after a fantastic 2024 with our sources of expected capital totaling $1.5 billion to $1.8 billion. This compares to our outlook last year of $1.4 billion to $1.6 billion. As a reminder, our cash generation is driven by earnings in our U.S. insurance subsidiaries, which will convert to dividends to our holding company, dividends from our U.K. operations and other fees charged to our operating companies, specifically asset management fees. This is all fueled by our strong earnings across our businesses. We do not expect major changes in our capital usage in 2025. Specifically, we will continue to service our debt at leverage consistent to current levels, steadily increase our dividend and return capital through a sizable share repurchase program. For 2025, we expect to buy back between $500 million and $1 billion of shares as we assess our capital deployment priorities throughout the year. For context, in 2024, we repurchased approximately $700 million of shares after removing those shares repurchased in conjunction with our PCAPs transaction in the fourth quarter. So now turning to Page 12 in the presentation. I will finish with our expectations for capital levels at the end of 2025. We expect capital levels to continue to be strong and well above our targets, which are calibrated to maintain our current ratings. This includes risk-based capital in our traditional subsidiaries to be between 425% and 450%, holding company liquidity to be greater than $2 billion and ample leverage capacity between 21% and 22%. As we always do, we will ensure a prudent approach to capital management and do not plan for sudden changes to our capital structure. That considered over time, we do plan to manage these metrics back down closer to targets. However, in the near-term, this position grants us immense capital flexibility and allows us many options to further advance our business strategy and return more capital to shareholders. So to wrap up our prepared remarks, we are extremely pleased with how the company performed in 2024 and excited for the opportunities for our businesses in 2025. We will continue to deliver on our promises to more and more customers, create a desired workplace for our employees and deliver industry-leading margins for our shareholders. I will now turn it over to Rick for his closing comments before going to your questions.
Richard McKenney: Great. Thank you, Steve. As you can see, with 2024 in the books, 2025 is shaping up to be another great year for Unum and with continued momentum in our core business and our capital generation. Plenty of topics to cover this morning. So with that, we will move to your questions.
Operator: [Operator Instructions] Your first question comes from Tom Gallagher from EVR.
Thomas Gallagher: So Steve, 1 question I had. My first 1 is just on group disability. You said you expect it to remain favorable over the midterm. If you were to kind of isolate and say, why is that? Because I think there's a broader concern it's going to revert to the mean get back into the 70s. What is it about the underlying that's really driving -- it sounds like there's been a structural change here. Is it really claim recovery? Is it incidents? Is it a combination of things? And why won't -- why don't you assume that price competition will erode the margin if it's as favorable? Or do you think your -- maybe your margins better than many peers. So that's not a threat? Any color on that?
Steven Zabel: Tom, and I'll cover really just from a claims performance perspective, what we've been seeing and why that gives us confidence kind of in the near to midterm. And then maybe Chris can talk a little bit more about the competitive market. We've gone through kind of the fourth quarter selling season. And so we have kind of an updated read on pricing and the competition out there, and I'll let him cover that. So just to zoom out a little bit, group disability for the year had an actual benefit ratio that was right around 59%. And so although in the fourth quarter, it ticked up a little bit to 60.4%, it is well within any kind of range of volatility that you might see quarter-to-quarter. So we continue to feel very comfortable about giving an outlook going into 2025, that would be in that low 60% benefit ratio range. And then what I would say is just kind of the dynamics of the experience we're seeing. Incidence bounces around a little bit quarter-to-quarter, but I'd say, generally speaking, incidence is pretty much at levels that we would expect longer-term and pretty consistent with what maybe we would have experienced pre-pandemic. So I would say we feel really good about that, and that's been relatively stable. From a recoveries perspective, that's really where we've seen the improvement. And that's been kind of a decade-long improvement that we've seen there. It was clouded a little bit by some of volatility during the pandemic. But as we came out of that in the '22, '23, '24 kind of period, we really saw continued improvement. And that gets down to just our team, them working with our customers, with employers, with physicians to figure out ways to get people back to work at a higher rate. We've been able to apply data to better understand outcomes and to implement accommodations for those people to get to better outcomes. And we're all aligned. People want to get back to work. We want them to get back to work. And we've been very successful with our people, with our technology to be able to do that at a higher rate. And for those reasons, we do think that performance is sustainable going forward because we've embedded that just into our claims management process. And so then with that, I'll turn it over to Chris to just talk a little bit about the competitive environment and pricing and what that looks like going forward.
Christopher Pyne: Yes. Thanks, Steve. And Tom, thanks for the question. It absolutely remains a competitive environment we expect to operate in that type of world. But building on what Steve was saying around you've got an excellent operational performance. You do have a favorable kind of attract and retain reality that employers are dealing with. They want a quality benefits package. They wanted to work really well for their employees and them as a customer. And when you kind of combine high-quality coverage with connectivity into the human capital management platforms or other kind of technologies that are important to them, when you're solving challenges that are as important as leave and that's the reason maybe a customer came to you or they're considering staying. These are modestly different conversations than in the past or where price was more central to the conversation. Price is a part of the equation, though, there's no question. We want to charge a fair price. We want it to be stable over time. Customers appreciate that. And we just have a nice history of delivering both the value and price combination as it relates to our investments.
Thomas Gallagher: That's helpful, guys. And just my follow-up just on long-term care. The -- a peer of yours Manulife announced another risk transfer deal in late '24 on a younger vintage block. How do you feel about the market right now? Do you -- is it getting better for risk transfer? Is the bid-ask spread still too wide? What do you think the prospects are for you '25, a  possibility?
Richard McKenney: Sure, sure. Let me touch on that and be fairly consistent with how we've talked about in the past. One thing that did change in the quarter, we did see another transaction. So as we talked about, the first transaction we saw just over a year ago, we think that's good. We think that actually shows that the market is coming together and where you can actually have the right attributes of an LTC company, meeting somebody that we're willing to take on that risk. Remember, the new development there is we're also bringing in other parties that are taking on some of the asset risk, which can enhance the overall proposition. So I think that those are both good transactions to see. But as we talk about it, these transactions are hard, and we have to make sure that we're able to find the right partner to take on specific attributes of our block. The team has done a really good job of parsing the block, so we can really structure the block and something that we'd want to transfer from a risk perspective to see what the buyer is looking for and structure around that. So all those are, I think, are very positive dynamics that are happening out there. But it's -- these are difficult transactions. And so we don't want to talk about anything of a particular timeframe, but we will be active in the market. We will talk to a number of players out there. And the deal has got to make sense for us as well for the longer-term for our shareholders. But this is something we do think strategically is very important for our company to be off of the LTC risk. It's very unlike everything that we do. This is a legacy block of business. And so we want to make sure that we're focusing on the core, which you've seen the results are very strong. And so we want to do both of those things, continue to run a great core business and then work to transfer the risk of LTC to another party.
Operator: Your next question comes from Elyse Greenspan from Wells Fargo.
Elyse Greenspan: My first question, is just on the capital side, right? I mean you guys -- your holdco cash is going to grow during the year as is your RBC is going to expand? And yet you guys seem to be -- it seems a little bit conservative, right, with the buyback? I know there is a big range there. But -- are you guys just leaving some buffer depending upon what happens with -- on the M&A side? And if that is the case, can you just talk about some stuff that you guys might be considering with potential transactions for M&A?
Richard McKenney: Sure, Elyse. This is Rick. Let me take you through and first, I guess, this conversation with what Steve was taking through is the very, very strong capital generation. So you have to start with that. The businesses are generating a tremendous amount of capital. I think importantly, too, as we talked about 2023 was where we actually made a different move on long-term care to have that fully funded. So when you have that strong generation you don't have those needs across long-term care. You've got a lot of choices to make. And we've been very consistent to say first and foremost, priority, grow the core business. We've got a great franchise. You've heard about that today. How can we enhance that? How can we grow that? That's true organically, also true from an M&A perspective. And so you asked about the types of things we look at M&A, really, it's about how do we continue to use those transactions to grow the premium line. Think about that as capabilities. Think about that as potentially distribution. And then certainly, our international businesses are places we'd like to continue to look to grow as well. So that's the acquisition front and that use. But then you get to the things we're going to do from a shareholder perspective, increasing our dividend rate is something we've done consistently over a longer period of time. We'll continue to look at that. And then from a share repurchase perspective, when you get through all of that, we've said we're going to be dynamic. So it is a wide range, $500 million to $1 billion. A lot will transpire over the course of this year, and we want to actually be responsive to whatever that environment brings forward to us. Last year was a good example of where we were more dynamic. We exceeded the amount that we had going into the year. with our kind of underlying $700 million and then a PCAP transaction, which brought that up close to $1 billion. So this is going to be an area we're going to be very active from a capital deployment perspective. I think in 2024, we showed that we will be dynamic, and we expect 2025 will shape up similarly.
Elyse Greenspan: And then on the voluntary side, right, the results were a little weaker in the Q4, but it sounds like you guys don't expect that to continue given the earnings guide for '25. Can you just kind of provide a little bit more color on what went on there both in the Q4 and just the outlook for this year?
Steven Zabel: Yes, this is Steve. I'll take that one. Yes, we -- as we kind of look back over multiple quarters, we've seen this line of business have some volatility in it. A lot of that volatility was focused, I'd say, on the actual voluntary benefits product line within supplemental and voluntary. And it's really been different things as we look quarter-to-quarter different products that are in there that we've seen some unfavorable volatility. If you go all the way back to the first part of last year, the earnings power of that block was above kind of what our expectations would have been at $120 million per quarter. So it bounces around a little bit, but nothing that we see in there, we feel like is systemic and would continue going forward. And so right now, when we think about the earnings power of that business, the $120 million per quarter seems like a pretty reasonable level that we can expect going into 2025. And we'll just have to see how that plays out as we get into 2025. I will say that all the lines that are within supplemental and voluntary. They continue to be good growth engines for us as an organization. We really like those businesses. They're very much meeting the market. And I would say, are growing at a faster pace than what our group benefits businesses are. And so we really like those businesses.
Operator: Your next question comes from Wes Carmichael from Autonomous Research.
Wesley Carmichael: I wanted to ask again on pricing trends for Unum U.S. for 2025 renewals. Can you maybe just give us a little bit of color, particularly in group disability and group life? And if you could maybe just touch on how long that renewal pricing is being locked in just at a high level.
Christopher Pyne: Yes. Thanks, Wes, it's Chris. So a good topic to talk about just in general how the block performed. If you step back and you look at really what was incredible persistency in '24. We talked about that a little bit around our capability is making a real difference, but also just strong performance over time stable pricing, et cetera, et cetera. There was some element of kind of projects bid projects that have been put off for a while. We saw more of those in '24, where cases came to market that hadn't come out. For us, that's a little bit of a double-edged sword because obviously, in the sales side, we really enjoyed a strong 1/1. So as some of those projects were coming out. We won some. On the flip side, some of our cases also went to market just for overdue market checks or the like. Where we can tie things to investments and longer-term strategies, we feel really good about it being a driver of persistency. On the flip, as I said to the earlier question from Tom, it's a competitive market, and we are looking to continue to get a fair price that's stable over time and feel very good that we can do that. We are really thrilled with the sales in fourth quarter. We think that, that's a nice combination of a really coordinated strategy across the company that shows up well for our customers, and we think that's something we can build on.
Wesley Carmichael: Got it. And maybe on long-term care in terms of premium rate increases, I think you're about 50% through your current program. I'm curious, it seems like that's going pretty quickly. So how does that pace compared to what you originally thought and what's embedded in reserves? And I guess separately, is given your need of no more capital in the business, your level of protection, do you expect this to be -- you're largely done with rate increases? Or do you continue to expect those to go on over time if they're actuarially justified?
Steven Zabel: Right. Yes. And you're right. We're very happy with the progress that we've seen so far since last fall. And yes, I reiterate the progress that we've made. We're a little over 50% through the current best estimate assumption that is incorporated into our reserve right now. I will say, between then and now, we have had some very large state approvals we were expecting those, but those did come through in the fourth quarter and have been reflected in our statistics there. And as such, I wouldn't expect the pace going forward over the next few years to be at that level. We tend to get these approvals and get them implemented over kind of a 3- to 5-year period when we launch a program. And I think that still feels like a reasonable timeline. With that said, we are very happy that we're able to get some pretty large ones over the finish line and very happy with the progress that we have made. Your question just about not launching kind of future programs, that's always really just dependent on what we see emerge from the product. And also we're continually looking at opportunities to maximize that program. So I would never say never on that because we're consistently challenging where we might be able to go back to states and get fair returns on this product line.
Operator: Your next question comes from Joe Hurwitz from Dowling & Partners.
Joel Hurwitz: I want to go back to the voluntary benefits business. So we've heard other key players call out expectations for higher loss ratios moving forward. I think it was 2 years ago, you guys put out a benefit ratio target of 40% to 43% for the VB business. Is that still the correct way to think about this business? Or has something fundamentally changed to drive benefits higher, maybe the competitive environment or something?
Steven Zabel: Yes. I would say probably we would peg that somewhere closer to the mid-40s right now from a benefit ratio going forward. So modestly higher, but we still feel very good about the returns that we're getting on that line of business. And I feel very good about just the earnings power going forward. So that's probably a good planning assumption.
Joel Hurwitz: Okay. And then just shifting gears to U.S. group sales. I guess how much of the strong sales at 1/1 were associated with customers utilizing capabilities like HR Connect or Total Leave.
Christopher Pyne: Yes, Joel, Chris again. Thanks for the question. Let me -- let me start by saying sales upmarket were extremely strong, and that's the best chance for us to go in and talk about really important topics like the human capital management platform and what they're trying to do with it, how we can incorporate our capabilities. Same with leave management, you've got much more access to the customer to talk about long-term solutions that we've been investing in and when they're centered around problems like leave management, it gets a lot of attention. So to kind of affirm your point in the question, strategically aligned sales continue to be really critical in terms of how we are winning new business, and we are more and more excited to talk about those things as they continue to get better after ongoing investment over time. And that's -- those are topics we've been investing in for a long time. As you move through mid-market, these topics are still critically important. But you start to add in things like broker distribution platforms that are important and smaller customers rely more on their distributors to do work for them. So we've targeted broker platforms that can really help with their execution on behalf of their customers and we're starting to see incredible progress there. We're really pleased with how that's working in the smaller and mid-market -- we've even got some nice traction with our Colonial partners where they're strong player with the Gather platform, which Rick referenced incorporates employer funded group products from Unum is starting to actually make a mark in the marketplace, and that's a good thing. So the spirit of your question is right on capabilities matter a lot to us.
Operator: Your next question comes from John Barnidge from Piper Sandler.
John Barnidge: Other market participants have begun more meaningfully talking about investing leave management capabilities? Can you talk about the continual investment that's going on to support HR Connect, Gather and the whole suite into the capabilities? And what proprietary moats there are that third-party products off the shelf fail to replicate?
Richard McKenney: Yes, John, leave management is -- it is the #1 or 2, put it behind the cost of health care. It's up there for every employer. If I were to step way back, we've been in the leave management business for literally decades. And it starts with kind of FMLA many, many years ago where employers needed assistance just to manage something that was new and different, but it's evolved to become an extremely complex set of issues depending on how many states you're in as an employer, what your own motivations are for corporate leaves and how you want to handle them. And our experience, not only being in the leave business for many, many years, but also being experts in the disability business, which is a significant part of leave management. There are a lot of leaves that are associated with an employee's own condition give us a real advantage. So the competitive moats start with our own experience and what we're building on in the number of years of investment and then couple that with a real concentration on the ecosystems that employers want to use to manage their employee populations and making investments in very specific kind of what I would call winning platforms of choice. So that we can act, interact and exchange information with literally right up to their frontline managers so that they have a good handle on what's happening with their employees, when they'll be back to work, what the protocols are around staffing that they're going to need to take hold of. These become somewhat indispensable tools for employers. And frankly, it's a really fun way to sell because you're getting into expert consulting at where we can make a real difference for our broker consultant partners and their employers. So -- well, let me just finish by saying we spent a lot of time on an end-to-end strategy all the way through our company, in culminating with our sales and client management teams to make sure they're the best in the business of being able to kind of incorporate these solutions for the benefit of brokers, consultants and customers.
Steven Zabel: John, it's Steve. The only thing that I'd add, just there's a question in there just about kind of the financial commitment to investing in these types of technologies. And I'll take Total Leave, for an example, we've been investing in that for 5, 6 years. We brought it to market a few years ago. And that's really incorporated into the earnings power of our statutory companies, and that's been embedded in that. And so when I think about the outlook going into next year of $1.3 billion to $1.6 billion of statutory earnings, we're funding that within that capital generation, and we have been for some time. So we're basically utilizing our current scale to be able to make those investments and then still generate very, very healthy returns and capital redeployment.
John Barnidge: And my follow-up question, can you talk about the market dynamics in the core market versus the large case market? It feels like there's been a bit of a bifurcation in sales growth between those 2 that's emerged over the last year?
Richard McKenney: Yes. Thanks, John. We actually -- we're really pleased with both the growth in core sales, that's the under 2000 Life business for Unum and the over 2,000 Life National Client Group. Certainly, National Client Group sales over 2000 life stood out, but that's a lot of winning of upper mid and National Client group level customers, again, tied to capabilities. 1/1 is the biggest date for that, and we saw a really nice influx of new business there this year. On a core -- from a core basis, though, we are really pleased with what essentially is double-digit sales growth for group in the quarter. You need to net out the stop-loss sales from the prior year to kind of see that growth. But mid-market, when we talk about Workforce Now platform of ADP and you look at where Workday is headed in terms of taking their capabilities down into the mid and smaller end of the market, we do see those things stand out. We invest heavily in the bundles down market around, as I said, the broker distributed platforms and also our own My Unum. We know that there's more work or more kind of upside associated with that. So sales growth was good. The bundle is working. We love our portfolio of products. This particular quarter did -- NCG did shine, but we feel really good about the balance between both.
Operator: Your next question comes from Ryan Krueger from KBW.
Ryan Krueger: Unum US premium growth decelerated during the course of 2024, including in the fourth quarter. It looks like you expect a reversion back higher in 2025. Is that just a function of the timing of how sales has come through over the last year? Or is there something else going on that depressed premium growth in the last quarter or 2?
Steven Zabel: Yes, Ryan, it's Steve. There's nothing specific in the fourth quarter. There's some kind of seasonal recognition things that occur. But I just kind of zoom back 5% growth for the full year, and we feel really good about growth going into 2025, and it may vary a little bit quarter-to-quarter, but feel really good that we can continue to grow those businesses.
Ryan Krueger: Got it. And then can you give a little bit more color on what is driving the expected Colonial Life sales turnaround in 2025?
Timothy Arnold: Yes, Ryan, it's Tim. Thanks for the question. So let me start with '24 first. Clearly, '24 was not the year we expected from a sales growth perspective. In the fourth quarter, we were up against an extremely strong fourth quarter in 2023 with higher than 11% growth in that quarter. That was driven by the large and jumbo market. So we had some really good success in '23 with a couple of extraordinarily large clients. Maybe just building on Chris' point from the question from John, on the Colonial Life brand, we view the large case market as being an opportunistic market, and we've been pretty consistent about saying that through the years. We want to grow in large case, but only where it makes sense from a profitability perspective for us. So premium growth last year, as Steve pointed out, but it's worth reiterating 3.3% in the range that we gave you guys earlier last year. That was driven by strong persistency and pretty good results in '23. And then that led to extremely strong earnings, as Steve pointed out, from high levels of premium benefits were favorable and expense management was really good as well. As we flip the page to 2025, focus specifically on the Colonial brand, we are excited about the progress we're seeing with the strategic investments that Rick mentioned and Chris and Steve had touched on as well. Gather platform product sales are growing very, very rapidly. We're seeing good growth in sales from Colonial Life agents on the unit product portfolio, which is really important to us going forward that we are able to offer an integrated solution to our clients. And what's really neat is when our agents sell Colonial Life voluntary, Unum ancillary and put it on Gather, our client gets a single bill rather than numerous bills. So we're excited about the opportunities there. We are seeing very strong adoption of our agent productivity tool. We call it Agent Assist. And when that is coupled with the fact that new agent recruiting was up 12% in the fourth quarter, in fact, the highest quarter of recruiting that we've had in recent memory. We like our chances in 2025. Perhaps most importantly, though, in the fourth quarter of last year, we did name a new SVP of Sales. She has a very long history of success in our Colonial Life sales organizations in virtually every role she's been in. She started at an entry level and worked her way up and was most recently the Vice President of Sales for one of our regions. She's a transformative execution-focused leader and we're confident that she will be able to help us in 2025. We did only name her in the fourth quarter, so it may take a quarter or 2 to get to the place that we want to be, but we're confident we can be in the range that Steve shared.
Operator: Your next question comes from Alex Scott from Barclays.
Taylor Scott: First 1, I had is on the Unum U.S. premium growth. I was actually interested if you could talk about persistency a bit. I mean, just in light of sales being as strong as they were this quarter, and persistency looked like it was a pretty good outcome, too, probably on the back of some of the capability advantages that you have. And so I just wanted to understand like how that's translating into premium growth. It's always a little hard from the outside to do that conversion. And what's sort of assumed in the premium growth guidance you've given us for 2025 in terms of persistency.
Christopher Pyne: Yes, Alex, Chris, I probably wasn't clear enough in my previous answer on kind of that double-edged sword when you think about some of the pent-up demand of either market checks or RFPs related to solutions that hadn't hit the market in, say, '22, '23 that drove nice persistency in '24 for us, but there was more a larger case in the market. And we won quite successfully, but it also -- the double -- the other side of the coin is that some of our in-force block was in play. And any time it's in play, you do run the risk of losing a customer. So when I think about super strong persistency in '24, I would think about much more normalized persistency in '25, and that's part of it. We still get excited about capabilities and solutions when we're solving bigger problems that customers will stick longer. But that's only a portion of our block, and it will take time to make that be a more and more significant part of our overall business.
Steven Zabel: And Alex, just to make it clear. So 1/1 renewals, kind of the results of that will be reflected in our first quarter persistency. And so as we go into next year, we'll report kind of the results of that as we go forward.
Taylor Scott: Got you. Okay. And then I had 1 more on long-term care. Appreciate the way that you guys think about it in terms of protection against your base case. But I did think it was interesting that in this around $200 million lower impact if that's tax related and the tax rate is around 20%, then sort of assumes that the equity in Fairwind got significantly better. And so I'm just interested where that sits at this point? I mean how does that compare to a statutory reserve? I think some of these metrics may help us bring things and particularly when we're comparing and contrasting to some of the transactions Manulife has done and so forth?
Steven Zabel: Yes, this is Steve. I'll take that one. So you're right. I mean we anticipated coming into 2024 that given where rates were and how that works its way into our new money rate assumption for the premium deficiency reserve that we would see our discount rate over time move up due to that fact. And we did see that as we went through '24 and kind of finalized what would be our year-end valuation on the premium deficiency reserve. So we are able to release some premium deficiency reserve during the period. The interest rate component of that would be very consistent with what you would have seen in some of the sensitivities that we provided, I guess, last year as part of our outlook meeting. When those basically transition though from the reserve to, in essence, capital, it is tax affected. And that works that way both ways. When we set up the PDR, there is a tax benefit related to that. When we release it, there's a tax expense. So you're thinking about it right. And that's why we're kind of indifferent to whether it resides in reserves or capital. And that's why we're not really breaking those 2 down and reporting those separately. We kind of think about it in aggregate as the protection we have. And importantly, we think of it that way because we're leaving all of that excess capital in Fairwind. And so you're right, it's a simple math of the protection that we report went from $2.8 billion to $2.6 billion because there were some tax friction as we release those premium deficiency reserves during the year. The other thing that I would just note is the sensitivities that we do give, those were kind of a multiple year sensitivity as those rates work their way to the calculation. That's not necessarily a 1-year event. And so you'll see that recognition kind of over multiple years as it works its way into the 3-year trailing average.
Operator: Your next question comes from Suneet Kamath from Jefferies.
Suneet Kamath: I wanted to start with long-term care. I mean one of the things that we saw with the 2 Manulife deals were the company sort of bundled some asset-intensive business with the long-term care in order to transact. And I don't think about Unum as having a bunch of asset-intensive business. But I guess how are you thinking about the possibility of bundling some non-LTC exposure if you were to transact?
Richard McKenney: Thanks, Suneet. I think we've talked about this in the past, but talking about we do have multiple lines of business out there. So we don't see that as a constraint in terms of what that might look like. Now we don't -- we don't have asset-intensive maybe annuity-type businesses, but we've got some good returning businesses that would have that potential. And so I think that -- like I said, I don't think it's a constraint. I think it would be part of consideration as we talk to other counterparties to put together something that makes sense for them, make sense for us and overall.
Suneet Kamath: Okay. Got it. And then I guess on your capital. I mean, I think, Rick, you said your top priority is organic growth, which makes sense. But -- do you have a rule of thumb or helping us frame how much capital do you need to support the growth plans that you have in your 2025 outlook?
Richard McKenney: Yes. I think that when you look at the capital that's needed for organic growth, it's pretty consistent. And so without breaking that out specifically, I think year-over-year, that hasn't changed much. And so if we kind of we're able to do a whole lot more would it consume a lot more capital. It depends on the line, but many, many of our lines are actually pretty low consumptive from a capital perspective. So we say that, we want to do that. We want to continue to invest in those lines, but that's not necessarily going to be the largest use of what we have out there. So -- but we just want to make sure that, that is the priority. It is about growth. And then you can leave kind of the M&A type of things that we can add into that to also grow the premium line. So hopefully, that's helpful, but this growth engine has been very consistent. We showed you the chart of premiums. And as a result, the capital consumptive nature of it has been a steady state for many, many years.
Suneet Kamath: If I could just sneak 1 more in, just relatedly, M&A-wise, what sort of size transaction would you guys be thinking about? I think in the past, you talked about a couple of hundred million dollars, but I just want to get an update there.
Richard McKenney: Yes. I think that, that would probably be consistent. And we really haven't talked about the size so much as the type of transaction we look at, and these are capability-driven type transactions.  It could be a technology, it could be something on distribution side, which would denote a little bit smaller transaction. Would we move up from that? I don't think materially, it's all going to be all about growing that premium line. So we try to stay away from the exact size, but I think the types of transactions that we talk about type of companies we'd like to buy are probably in that smaller range.
Operator: Your next question comes from Josh Shanker Bank of America.
Joshua Shanker: I want to talk a little bit at the beginning of the Q&A, we talked about the competitive environment and how you're thinking about pricing. I want to understand, are you thinking that you're pricing current disability in the low 60s type benefit ratio range, but you expect that the favorability trends will continue and they might be better than that. Or are you pricing right now for a sub-60 type experience?
Richard McKenney: Yes. Josh, thanks for the question. Again, stepping back, we have the power through the bundle of both solutions and products that we can put together to be flexible with our customers to set that long-term pricing plan at a place that they're comfortable and that we can expect to have. Sometimes you've got to make rate adjustments up and down, but to make them in the more modest sense. And again, when you're talking about when you're talking about bundling of things like leave management or HCM capabilities, it does take a little bit of the kind of bottom line nature of the conversation away, which is a good thing. So we're counting on our claims organization to continue to perform at the level that they are. They've shown a great history of that. We feel like we can put that together with reasonable pricing. So that we can continue on this very good trajectory that we've been on for some time. And as you can see, we've guided the loss ratios to be kind of low 60s, but keeping where we are for the period of time on both disability and life insurance creeping up towards 70s. But again, I feel like we're in a really good spot there as well.
Joshua Shanker: And I guess how much is price a factor in your ability to win business? If you were to say, we're willing to price 300, 400 basis points less margin than we have currently been earning. Would it stimulate much growth?
Christopher Pyne: Josh, I think down market, if you wanted to make a play to win a pure commodity buyer, you could fairly quickly change your sales trajectory if you want to win there. Upmarket, a lot of customers really do look for value first. So even if they see some sort of a meaningfully discounted offer from a carrier, listen, certainly, there are times when a company has to make an economic decision and take advantage of every bit of savings they can, but that's the minority. Most of -- and we -- it's part of the reason we really like that mid and upper market, large market where more value conversations happen, and that's less likely to be the driver. Again, I've been doing this for a long time. I do not want to suggest the price doesn't matter, it does. But again, the whole package is what's at play and just underpricing by 3 or 4 points isn't going to lead to long-term success from a growth perspective.
Operator: Next question comes from Mark Hughes from Truist Securities.
Mark Hughes: Just 1 quick one. You talked about a lot of optionality in the potential risk transfer for the long-term care block. How much do you prioritize just getting a full solution, so it's entirely off your books or maybe a partial solution that just has components of the block.
Richard McKenney: Yes, Mark, it's Rick. I think about a full solution, that's probably -- if you go back 5-plus years, we would talk about that, just given the size of the block, I think realistically, that's why we think about the tranches. Ultimately, we would like to be off the entire risk. But I think it's much more reasonable to think about it in terms of piece by piece. And so that's what we're approaching. That's why we say we can take out any part of the block from a structuring perspective. And so we're going to focus on that. I think that's a realistic way that that's going to happen. Longer-term, sure, we want to be off the block, but I think it's going to be a little bit broken into a couple of pieces as we do that.
Operator: Your next question comes from Jack Matten from BMO Capital Markets.
Francis Matten: Just a quick question on the Closed Block segment outlook and the LTC net premium ratio, which ticked up slightly from last quarter. I know you called out that incidents continues to run a little bit above your longer-term expectation. Just wondering if you can unpack that at all on what's driving that and why you're confident that can moderate going into 2025?
Steven Zabel: Yes. This is Steve. I'll handle that one. I'll talk a little bit about the quarter and then maybe talk a little bit about kind of our view of the outlook for 2025 and what the underpinnings of that is. So for the quarter, yes, we did see incidents continue at level that would be elevated from our longer-term expectations. It's pretty consistent with third quarter. And so what we're seeing -- we still feel good that as we get into next year, incidents will continue to kind of drift down to more normalized levels. And we're seeing our kind of inventory of claims indicate that, that probably is going to be the case as we go into next year. So that dynamic is incorporated into how we think about just claims performance in 2025 and is part of the driver of our range going up a bit from what we would have put out there and what our actuals were in 2024. The other thing for the quarter, which we don't think is going to necessarily continue was we did see kind of lower impact from claimant mortality. And I think in kind of our public statements in the earnings release, we talk about kind of terminations, specifically, that was claimant mortality. We saw the count pretty consistent with our expectations, but the average size of claim related to those claimants was lower than what we would expect. We think that's kind of just a 1 quarter thing. Both of those things would have had a modest negative impact on our net premium ratio and so that did go up pretty modestly 10 basis points. We don't think that continues. It hasn't really been incorporated into an outlook for 2025. The other thing that we are looking at, though, is our alternative investment portfolio. Our -- I mentioned our yield -- annual yield for the fourth quarter was about 9%. For the full year, that was a little under 8%. Our longer-term expectation for that would be 8% to 10%. And that's what we would have incorporated into our 2025 outlook. So we finished the year at just over, I guess, or just under $140 million for the full year in Closed Block. The guidance we gave was $140 million to $170 million. And so those 2 dynamics around incidents may be continuing to abate as well as better yields on the alt portfolio is really driving that increase in the range that we set.
Francis Matten: That's helpful. And then just a follow-up on capital generation. There's a nice step-up in the outlook for U.S. stat earnings and international dividends. I guess is there anything notable driving the improved outlook. It seems like the capital consumption from organic growth isn't expected to really change meaningfully. But just wondering if there's anything notable driving your 2025 expectation?
Steven Zabel: No, just growth. We continue to have very solid margin across both the international businesses as well as our U.S. insurance subsidiaries. And so all you're seeing is kind of the growth that we anticipate in top line kind of flowing through to statutory earnings generation.
Operator: Next question comes from Jamie Bhullar from JPMorgan.
Jamminder Bhullar: Most of my questions were answered, but maybe on the disability -- on the long-term care block. What is it that -- and you've obviously expressed confidence in your reserves, but what is it from -- that we could monitor from the outside whether it's just overall earnings or net premium ratio or something that gives us an idea if you're getting to a point where maybe you'd need to adjust your reserves again?
Steven Zabel: Yes. I think we've been pretty consistent. The metrics that we're going to be talking about would relate to just absolute earnings of the block, and we will talk about that as we go quarter-to-quarter just the claims dynamics that we're seeing within the block. Two would be the net premium ratio, which we continue to disclose that on a quarterly basis. And then just how we think about the hedging program and what we're able to achieve there and the protection that gives. And then I would just add to that, the success that we've had on our premium rate program, and we'll continue to disclose just the progress we made there. So that's kind of what we were able to put out there in the market in 2024, and that's what we'll continue to do. And then obviously, update on just the broader protections that we feel we have against block. Ultimately, there's going to be GAAP dynamics as far as having best estimate reserves. But for us, the key thing there relates to capital needs of that business. And I think looking at the protections that we think we have with our statutory or regulatory reserves is probably one of the best indicators to just think about capital requirements of that business.
Jamminder Bhullar: Okay. And then on your share buyback guidance, a fairly wide range. What -- besides earnings, what are the things that would make you be at the higher end, closer to $1 billion versus maybe around $0.5 billion?
Richard McKenney: Yes. I think about the flexibility that we have and the dynamic repurchase we have for the course of the year. I mentioned M&A. So certainly, that would be a use of capital. But even with the types of transactions we talked about, we'll have significant capital as we end the year. So it's going to be more a judgment in terms of as we look at the pace at which we go at buying back our shares over the course of the year. And so I'm sure we'll talk about it on a quarterly basis, but we start the year in a really strong spot and expect that we'll be in the market right away, buying back shares, and we'll just have to see the pace at which we do that.
Operator: Your final question comes from Michael Ward from UBS.
Michael Ward: Back to just voluntary benefits. I know there's been a lot of focus there, and you're comfortable with the earnings power, but I don't think we've actually discussed kind of the underlying claim activity or product lines in voluntary. is it simply just a random incidence tick up, hospitalizations and indemnity payouts? Or is it severity or anything else?
Steven Zabel: Yes. And it's been kind of a different story quarter-to-quarter. In some quarters, hospital indemnity, we've had higher levels of claims and some disability. We've had a higher incidence of claims. I would say for each of those product lines. We haven't seen a consistent unfavorable trend that we kind of predict out into the future will continue. So it's one of those things that we have a lot of different product lines kind of embedded in voluntary benefits. And over the last couple of quarters, we've just had some unfavorable claims experience that has hit multiple product lines. And again, we just think that's some volatility that should play out over time.
Michael Ward: Okay. And then maybe are you able to sort of quantify the impact from recoveries and how that's helped group disability loss ratio maybe like on a -- like for '24 or just in general over the last few years?
Steven Zabel: Yes. There's kind of a lot of moving parts to that. I mean, obviously, the benefit ratio within group disability is an indicator if I go all the way back to kind of pre-pandemic that probably ran in the low 70s. Since that period of time, we've been on a bit of a ride for incidence trends, but those are back to more, I'd say, historic levels and probably are pretty consistent. There's obviously been different pricing that's occurred over that period of time. But I would say one of the main drivers of that change in the benefit ratio would be the improvement that we've seen in recovery trends.
Operator: We are now closing the Q&A session. I'd now like to hand back to Rick McKenney for final remarks.
Richard McKenney: Great. Thank you all for joining us, and thank you for all the questions. If you do have further questions, please do reach out to the team, and we will also be active over the next few weeks as soon as Monday out there talking about what we're doing at different events and look forward to seeing a number of you from this call at AIFA at the beginning of March. And with that, operator, that concludes our call. Thanks, everyone.
Operator: Thank you for attending today's call. You may now disconnect. Have a wonderful day.